Nate Melihercik: Good morning and good afternoon. Welcome to Logitech’s Video Call to discuss our Financial Results for the Second Quarter of Fiscal Year 2024. Joining us today are Guy Gecht, our Interim CEO, and Chuck Boynton, our CFO. During this call, we will make forward-looking statements, including with respect to future operating results under the Safe Harbor of the Private Securities Litigation Reform Act of 1995. We are making these statements based on our views only as of today, and our actual results could differ materially. We undertake no obligation to update or revise any of these statements. We will also discuss non-GAAP financial results, and you can find a reconciliation between non-GAAP and GAAP results and information about our use of non-GAAP measures and factors that could impact our financial results and forward-looking statements in our press release and in our filings with the SEC. These materials, as well as the slides and a webcast of this call, are all available at the Investor Relations page of our website. We encourage you to review these materials carefully. Unless noted otherwise, comparisons between periods are year-over-year and in constant currency and net sales. This call is being recorded and will be available for a replay on our website.  One brief note before we move on to the quarterly results. Next quarter, we will plan to update and modernize our earnings materials. The totality of the information we provide today will not change. I’ll now turn the call over to Guy. Guy?
Guy Gecht: Thank you, Nate, and thank you all for joining us today. I'm very proud of the Logitech’s team performance and execution this quarter, driving better than expected results despite continued challenges, especially in Asia. Our new products, combined with sales execution, led to a significant progress toward the return to growth, and we did it while delivering record operating and growth margins exceeding any time in our history outside of the peak pandemic periods, along with OpEx control coming in slightly better than our 25% target. While we pause to congratulate the team and indeed, they deserve a huge thank you for the results, you will not find here any complacency, especially not before we return to healthy growth. That may take time as we work through pandemic pull-forward demand, but we are actively working toward it. Looking longer-term, I'm confident about Logitech’s positioning. Our portfolio aligns with doable secular trends in hybrid work, video conferencing, gaming and content creation that will continue playing out, and we see no reason to why we will not maintain the number one positioning Logitech currently holds in the majority of our growth categories. Now, let me briefly comment about the state of the business in these growth categories, and then Chuck will give you a lot more color on our performance in the quarter. I'm going to jump right into the video collaboration where our results are sequentially improving, but still far from where we wanted them to be. We're still facing market-related challenges, where some customers are taking a measured approach to equipping conference rooms, focusing first on hybrid work enablement by getting their workflow back into the office. But the need for equitable video and audio is only increasing, and our new site tabletop camera shipped this quarter, uniquely provides the best experience for hybrid meeting. We expect to continue to see gradual improvement in this business, and we'll be back in growth mode. Our solution for personal workspaces like keyboard and mice are on the verge of growth again. Mobile accessories and our sales into the enterprise are areas of specific strengths this quarter. Between business interest and new consumer products, we see this category well positioned for the holidays season. PC gaming improved sequentially, and the year-over-year declines are moderating. Simulation and console gaming remain challenged as we work through unfavorable comps that should ease in FY’25. Current and upcoming products refreshers, and of course, our gaming portfolio in the next several quarters, will further boost us in this industry that’s improving, but still not back to growth. Our design-led innovation was on full display this quarter, with 16 new products. We expanded the PRO series gaming portfolio with the Lightspeed keyboard and Superlight 2 mouse. We launched the Logitech G Litra Beam Light, and two Yeti microphones. We also launched the first product in a new category for Logitech, the Casa pop-up desk, which is a all-in-one ergonomic desk setup. We also continued to introduce new AI-powered products like our Zone Wireless 2 headsets. This headset uses AI for far-end noise suppression, resulting in a unique two-way noise-free canceling experience. Products like this demonstrate how AI can improve the user experience. More broadly, Logitech sees AI as a major strategic opportunity. Just as we have enabled people to be productive by accessing PC and cloud capabilities, we envision Logitech providing the interface tools people need to access and benefit from AI. As artificial intelligence transforms how people work and leave, we plan for Logitech to be at the forefront, delivering the solutions that seamlessly bridge human and machines. This is an exciting new frontier for us that you will hear more about in coming quarters. This quarter, it wasn't just our innovation on full display, but also our commitment to climate action and equity within a recent impact report. We aligned with two major private sector initiatives for the UN sustainable development goals. We firmly believe businesses play a critical role driving progress on these goals, and we are proud to foster alignment across companies. As our Chief Operating Officer, Prakash said during Climate Week in New York City, when it's come to the environment, we need progress, not just pledges.  Let me close with an update on our CEO search. Over the last four months, the board has been conducting a global CEO search, including internal and external candidates across industries and geographies. From the first days of the search, there was a tremendous interest in the opportunity that afforded the board the chance to meet with incredibly strong, diverse, and experienced candidates. Our board, masterfully led by chairperson, Wendy Becker, deserves real credit for the work. You might sense from my update that we are getting closer to finalizing a decision, and indeed we are. Until then, I hope you understand I will not be able to add more color to this topic. In summary, this quarter, we have made real progress, but aren't satisfied. We want consistent growth and consistent financial performance, and we are very focused on delivering that.  Thank you, again, and let me turn it to Chuck to discuss the numbers. Chuck?
Chuck Boynton: Thank you, Guy. Thank you all for joining us in the call today. I'd like to echo Guy’s comments about the great focus and execution of our employees throughout the quarter. Their commitment to the customer is certainly reflective in our 16 product launches ahead of the holiday season, while also demonstrating the discipline to operate the business in a responsible way and generating strong operating cash flows. Tremendous work by everyone.  Now, moving on to the business results of the second quarter. Net sales and constant currency declined by 9% to $1.06 billion. Overall, our Europe team had a very strong quarter, with both sequential and year-over-year topline growth in US dollars. In constant currency, we were down mildly from the prior year. Both Americas and Asia Pacific were down year-over-year, but showed sequential growth. Our personal workplace solutions had a really great quarter while gaining market share in keyboards and combos, pointing devices, and webcams. Our video and Logi G business still had pressure versus more difficult comps last year. We've been talking on our earnings calls and our Investor Day about the benefits of lean on-hand and channel inventory. This quarter, we continued our progress in leaning out the supply chain. In fact, our sales out was stronger than expected, which not only led us to overperforming in the topline, but also reducing channel inventory. We are currently shipping at a fast pace, getting ready for the peak holiday season. We expect to reduce channel inventory in the March quarter to align with the seasonally lower revenue we see in Q4, as well as Q1 and Q2. Please note, this will create a negative year-over-year comparison for Q4. For the sixth consecutive quarter, we reduced on-hand inventory significantly with our inventory turns improving from 3.2 to 4.6 year-over-year. We are getting close to our target operating model of five turns or better. Lastly, it's important to know that similar to last quarter, the reduction in channel inventory and on-hand inventory had a one-time positive impact on gross margins. And Q2 gross margins expanded quarter-over-quarter to 42%, better than anticipated, and in the upper range of our long-term financial model. Year-over-year increases were driven by cost improvement, including less reliance and expedited shipping, along with lower promotions, partially offset by unfavorable product mix. Comparing sequentially, increases were driven by cost improvements, favorable mix, as well as leverage and scale. Though we are encouraged by the gross margin improvement, Q3 gross margins are typically pressured by promotions and mix, and discounting typically increases during the holiday season, and our sales are more consumer-led than enterprise. We expect these headwinds to be partially offset by overhead absorption. In the back half of the year, we expect gross margins to be approximately 38% or 39% based on the previously mentioned one-time benefits in Q2 and sequential headwinds. Looking further ahead, with our slightly larger scale cost reduction and lower promotions, we believe the business is positioned to structurally attain the 39% to 44% gross margin target on average, although there will be quarters where we'll be below our long-term target due to various factors such as seasonality, mix, or promotions. Operating expenses were $261 million in the quarter, in line with revenue declines down 9% year-over-year. I continue to be pleased with the team's cost focus and ability to quickly dial up or dial down OpEx based on business performance. Our long-term model is to maintain operating expenses at around 25% or less of revenue. Note that we expect OpEx to rise mildly in Q3 due to seasonality and certain one-time costs. Operating income was $183 million in Q2 and better than our expectations due to improved demand, strong gross margins, and cost discipline. Following up on our record Q1 for cash generation, the team delivered strong Q2 cash flow from operations at $223 million, leading to a cash balance of approximately $1.2 billion. Q2 is also reflective of our consistent capital allocation strategy, particularly our commitment to returning capital to shareholders, which totaled approximately $276 million in Q2. In September, our shareholders approved and increased to our dividend, and we returned $182 million to shareholders, and we started our new $1 billion three-year share repurchase program that was approved in June. In the second quarter, we repurchased nearly $1.9 million shares for a total consideration of $124 million. Actual cash outflow is $94 million in the quarter, with the remaining balance to be paid in Q3. Please note the shares repurchased were under both the 2020 and 2023 program.  Moving on to our outlook, we exceeded our first half outlook on both the top and bottom lines, driven by stronger than anticipated demand, lower promotional intensity, and more aggressive cost reductions. Although uncertainty still exists, we remain cautiously optimistic that our business will continue to slow our rate of decline and eventually get back to growth. Therefore, we're raising the full-year outlook for fiscal year 2024. We are now expecting revenue of $4 billion to $4.15 billion. Our corresponding operating income is expected to be between $525 million and $575 million.  Before we start Q&A, we're going to show a short video highlighting our PRO line gaming products. Nate, roll the video and then we can take Q&A. [Video Presentation]
Nate Melihercik: Our first question today comes from George Wang at Barclays.
George Wang: Oh, hey guys. Thanks for taking my question. I have two quick ones. So, firstly, just to kind of see if you can reconcile the fiscal 2H just based on the implied guide is still kind of below seasonal, and then kind of from 2H to H kind of flat versus the historical survey trends kind of - up kind of 15% to 20% sequentially from 2H to H. Just curious how much visibility you have and kind of try to reconcile, you talk about improving demand sequentially, yet you are guiding kind of below seasonal for the back half. Just curious if - any color on that.
Chuck Boynton: Certainly, George. Thank you for the question. So, if you think about the math, we are in the rate - the rate of change, the negative is slowing down. So, the rate of change in Q1 versus year ago was worse than Q2, and we're projecting Q3 and Q4 to be slightly better than Q2. And so, if you look at absolute dollars, because it's - the rate of change is slowing, the halves might look somewhat comparable, but we’re sort of cautiously optimistic that the back half of the year will be - it's still probably going to be negative, still down year-over-year, but should be down a little bit in line with Q2, a little bit better than Q1, and that rate of change, we're sort of confident that or optimistic that we're in an improving state.
George Wang: Okay, great. If I can squeeze in a second question quickly. Just any color on the kind of refresh cycle, kind of the upgrade cycle across gaming, especially because intuitively, gaming has much faster refresh cycle versus kind of traditional PC-related kind of peripherals and B2B side. So, just curious whether you are already seeing a kind of rebounding the reverse cycle kind of after last cycle kind of including the COVID.
Chuck Boynton: Certainly. I can take this, and Guy can jump in. we have a handful of new NPIs that we've launched this quarter just in time for our peak December quarter in the gaming area. We're really excited about the PRO line. You saw a commercial there, the PRO line mice and keyboards, two new Yeti microphones, the new lighting system. So, I think we're in a really good place with the category. We do have a couple of NPIs coming right after the December quarter to address console gaming headsets, but the line is being updated and refreshed. The product teams are working very hard to accelerate the time to market for new products. Guy, do you want to?
Guy Gecht: So, first of all, exactly that. We need to give people the reason to refresh and buy new things, and we’re working on this, continue to release new products. Our roadmap is pretty exciting. In gaming, as I mentioned, there's three categories. The PC gaming, it's the biggest part. I think we're starting to see people moving and upgrading what they have. There's another category of console and simulation. Those are two categories where people heavily pull forward during COVID, and I think that might take a little longer than the PC gaming, but definitely at some point people would like to upgrade and we give them pretty good reason to upgrade.
George Wang: Okay, great. Congrats, again. I'll go back to the queue.
Nate Melihercik: Thank you, George. As a reminder for those in queue, please feel free to turn your video on when you ask questions. And our next question is from Asiya Merchant at Citi.
Asiya Merchant: Hey, good morning. I'm trying to turn on my video, but I think Nate's disabled me. But anyway, good to see you guys, Guy, and Chuck. There I am.
Chuck Boynton: Hello, Asiya.
Asiya Merchant: A question on margin.
Chuck Boynton: Oh, there you are.
Asiya Merchant: Yes. Nate enabled me finally. All right. Just on margins, if I may. You mentioned there were some one-time benefits that certainly resulted in margins which were better than what you think had guided, which was down sequentially for the September quarter. Can you walk us through some of those margin benefits that impacted this quarter, and why we shouldn't expect that to continue in the second half? I understand there's new products that takes a little bit off just given the new product launches, but what's there that shouldn't help you in the second half of this year?
Chuck Boynton: Certainly, Asiya, and yes, great question. So, first, we overdelivered revenue in Q2, and when you overdeliver revenue, you get more fixed cost absorption. So, there was leverage and scale that helped in the quarter versus expectations. We also had communicated that we expected channel inventory to be flat quarter-over-quarter, and it came down. And when channel inventory comes down, then gross to net tends to improve. We also decreased on-hand inventory again, which had a corresponding benefit as well, one-time benefit to inventory reserves. So, those were the - those two are probably not going to repeat in the third quarter. Maybe in the fourth quarter they will. And then structurally, we did a really good job on cost reduction. We drove down product costs. That had a meaningful impact both year-over-year and a little bit quarter-over-quarter. Certainly, freight and logistics costs year-over-year were a huge improvement, not so much quarter-over-quarter, and then there were some mixed benefits quarter-over-quarter, but tailwinds year-over-year. So, a lot in there. But I do think overall, we're in a better place now than we were. Primarily, our operations team has driven lower product costs and our commercial organization has improved linearity and has reduced discounting, which has been helpful to gross margins. Now, a word of caution though for Q3. It is our biggest quarter. It's more consumer-oriented, and therefore it tends to be more promoted. So, we do see margin pressure in Q3. And then, as I mentioned in the prepared remarks, in Q4, we intend to bring down channel inventory. So, you'll have less leverage in scale in Q4, given it's typically seasonally our lowest quarter.
Asiya Merchant: Okay. Is this the guiding slide that the December quarter should be more in line with seasonal?
Chuck Boynton: Yes, December quarter will be more in line with seasonal, and then I think Q4 will be a little lower because of the year-over-year reduction in channel inventory.
Asiya Merchant: Okay, great. And just gaming, if I may one more. I think some of your - I think specifically in the prepared remarks, you mentioned share gains across your three other products. You didn't mention gaming. Is that still a function of the fact that - are you losing share in PC gaming, or is it just because you're seeing tough comps in console and simulation that the gaming looks a little bit maybe optically weaker than some of your other competitors have talked about gaming getting some growth by the quarter - by the year-end, calendar year-end?
Chuck Boynton: There's been some share shifts in different categories, gains and losses in gaming. The important thing in gaming, console gaming is a really important category to us. One, the margins are higher. It's the heritage of Logitech. We have number one market share in mice, a really important category for us. In the keyboard space, we have number two market share. In both those categories, I think the NPIs will help gain some share back. 
Guy Gecht: Yep. I would say, when I track to where we’re gaining and losing, it's normally where we have a product that’s been in the market for too long, the competitors make, again, little improvement. When we have new products, normally we have big fans. Our products are great, and our job is just to make sure we accelerate and get to the market. The new chair, the executive that oversee gaming is definitely on it. So, a lot more good products to come.
Asiya Merchant: Great, thank you. I'll jump back in the queue. Thank you.
Nate Melihercik: Our next question is from Erik Woodring at Morgan Stanley. Morning, Erik.
Erik Woodring: Hey, good morning, guys. Morning. Sorry, Nate, you're going to have to unvideo me, but I'll start my questions anyway. There we go. So, maybe to start, just one clarification question on the topline, Chuck, for you. And historically, again, we see revenue grow about 25% sequentially in the December quarter, and then decline about 25% sequentially in the March quarter. If we assume that, we do get to call it $4.3-ish billion of revenue for the year. So, clearly above the high end of your guidance range. I would love if you could maybe just double click on the comment that you just made to Asiya about December being more in line with seasonal, but 4Q being below seasonal. Is that how we should be thinking about seasonality and kind of why the guide would imply something below normal seasonality? And why would that be after such a strong for second quarter? If you could just tease that out a little bit, that'd be helpful. And then I have a follow up. Thanks.
Chuck Boynton: Yes, Erik, yes, good question. I think ultimately, because we're still in a year-over-year declining environment, that the seasonality needs to be adjusted for that slope of decline. And therefore, if you compare historical Q1 and Q2 to Q3 and Q4, if you adjust for that slope of decline, I think you'll get back into the outlook that that we see. The other issue that we mentioned in the prepared remarks is that we intend to reduce channel inventory in Q4. And so, year-over-year, that will be down more than it was historically to bring channel inventory to the appropriate levels for Q4 and Q1 and Q2. Right now, we're building channel inventory, obviously for the prime selling season. So, I think you're a little high on the revenue numbers based on our outlook. Historical seasonality, we did this at Analyst Day. We talked about it. If you looked at the last five years and you take out the peak COVID I years, it generally was -and sales in and sales out can be a little different, but demand typically was 24%, 24%, 30% in Q3, and 22% in Q4. That was kind of three out of the four or four out of the five years had been the kind of the average pacing. And if you layer on top of that the rate of decline, of course it's slowing. We're getting not quite back to neutral. We're still in a declining environment, then it'll bring down that back half of the year relative to the first half of the year. So, we're kind of seeing the back half being somewhat similar to the first half of the year, maybe slightly better, but roughly in line with the first half of the year in total revenue.
Erik Woodring: Okay. That's helpful. Thank you for that. And then, follow up again on a question that was kind of previously asked, because gross margins were so strong this quarter, really nice improvement. And Chuck, again, you talked about kind of sustainability to a degree and structurally you think you can attain this 39% to 44% range. Can you just tease that comment out a little bit, because I feel like it's a bit of a shift from what we heard last quarter, which was, it'll take four to six quarters before we get back to that 40% level. So, it took you less than one quarter to get back to that level. So, has something changed in your view structurally where you have a lower cost profile such that you're more comfortable being kind of up towards that 40% range? I realize not for the second half, but overall, is that 40% plus level now more attainable in your view than it was three months ago? Thanks.
Chuck Boynton: It is a little bit. Now, there's two key factors that give us a little more confidence now than a quarter ago. The first is scale and leverage. We overdelivered in the topline, and that was a positive surprise for us. That gives you leverage and scale. That was a real positive. The other two, maybe it's combined, but better margins driven by lower cost and less promotion. And I think the - I'll give credit to our teams. Quinn, our head of GCO, the Global Commercial Organization, and Prakash, our COO, have done a really, really good job driving lower promotions and lower material costs that have helped us. Now, we can't really predict mix, and we know in Q3 we're going to have more promotions, more consumer, and we know in Q4, we're going to have a reduction in channel inventory, and that's our low watermark quarter typically for the year. So, I think there's a little bit of headwind in Q3 and Q4 on the margin side, but structurally, I think we're in that zone of 39% to 44%. Of course, a lot of things can happen, but as we sit here today, Guy and I are just really pleased with how the team has executed and where we sit and the read-through to the future is, I think, better now than it was a quarter ago. Guy, do you want to add to that? 
Guy Gecht: I think perfectly said. I think the team kind of accelerate the arrival of the future business model, and they deserve tons of credit, and obviously, we'll continue to work out to maintain and push harder on profitability.
Erik Woodring: Awesome. Thank you, guys. Congrats.
Nate Melihercik: Our next question will be from Juergen Wagner at Stifel. 
Juergen Wagner: Yes. Good afternoon or good morning. Thank you for letting on. Question on your market positioning in your PC peripheral business. You mentioned you're gaining share now. Dell had recently at CMD, they showed a slide that they want to go back into the peripheral business. Is that now a new trend or - so do you see that as a threat or maybe do you consider going back into the OEM business at some point? And then question video from today's perspective, when would you see that reversing or turning into growth? Again, thank you.
Guy Gecht: Thank you. I would say what we’re finding it's really reassuring is the strengths of the brand, and we’re seeing indication of pricing power. And you can see that - some of it in our P&L. We like to sell product with a larger brand that has definitely a promise of quality of innovation. People like that. We're seeing - I mentioned the Logitech for business. We're seeing more and more enterprise saying, you know what, we are going to buy that. We're going to just - we know that that will work for our users both at home and in the office. Our IT tools will manage that as well, not just the video conferencing, but the peripherals. We are very comfortable where we are. We always had competition. We just need to continue on our game and what we did in the last many years. We need to continue to do faster, better, and I think we have great opportunity there.
Juergen Wagner: So, you wouldn't see OEM business as an opportunity again for you?
Guy Gecht: Yes, we never say never. Again, we love partnerships. If something would make financial sense, obviously it would be up to the next CEO to decide, but I think we’re very comfortable with people picking a premium product with the Logitech brand and getting great return for it.
Juergen Wagner: Okay.
Chuck Boynton: And Dell can be a partner as well? I think …
Guy Gecht: Yes. Oh, they are a partner.
Chuck Boynton: We do sell some of our products on their website and they are a good partner and they'll be a formable competitor, but I think with our quality engineering, design, brand, and number one market share, I like the position that we sit in.
Juergen Wagner: Okay. And on video, any thought when you - when this could turn again or any best guess or?
Guy Gecht: That's like question of when, not whether. Talking to customer, the people that are dealing with the video conference in the enterprise, are often the same people that get the mandate, let's bring the team back to the office. And right now, they have two conflicting kind of topic, not completely conflicting, but they try to get people to come back and then they try to arrange for them great environment, productive environment to work with the people who work from home or the customers and video conferencing. So, I have no doubt that we're going to see more rooms being equipped with video conferencing. That's what people tell me. They do their homework toward that. I see customers making a decision to essentially standardize on Logitech. I know they are going to place POs this quarter, next quarter and more and more in the future, but at the same time, they take a pause. They want to get their workforce back to the office so that it will be used for those conference rooms. 
Chuck Boynton: And I would say generally, video grew this quarter sequentially. The year-over-year comps are still a little bit difficult, but we saw video growth this quarter. And so, I think we’re feeling that our products are great and the market is there. It's just a matter of when, not if.
Guy Gecht: Exactly. 
Chuck Boynton: And we can't predict that, but I like our position there.
Guy Gecht: Absolutely. 
Juergen Wagner: Okay, good. Thank you.
Nate Melihercik: Our next question is from Ananda Baruah at Loop Capital.
Ananda Baruah: Yes. Hey, thanks guys. Thanks for taking the question. Hey, Guy, Epi printer, Epi printer 
Guy Gecht: Thank you.  Just saying.
Guy Gecht: Appreciate that.
Ananda Baruah: Yep. There's the shout-out. So, I guess better demand you guys saw. Any view on what the drivers of the stronger demand were throughout the quarter?
Chuck Boynton: A couple of key things. The consumer is still quite strong. The consumer has really held us through the soft part on the enterprise, but we are seeing the enterprise come back. We just mentioned on the last question, we saw video grow quarter-over-quarter and the enterprise selling of mice, keyboards, webcams, has been quite strong. So, the enterprise maybe has some signs of life, but the consumer has really been incredible. Year-over-year growth in pointing devices, primarily mice, I mean, that is - it's one of the few categories that we've seen year-over-year growth. Overall, 9% decline topline, but growth in mice. And if you look at Europe, Europe has been quite strong. The European market has really - that team and that market has been a really important point of strength for us this quarter. US market, so-so. Asia is still lagging behind. But I would say, a couple of categories and a couple of regions have really delivered a great quarter for us.
Ananda Baruah: And Europe, has Europe been both consumer and enterprise?
Chuck Boynton: Yes.
Ananda Baruah: Interesting. What, like, I guess as you guys think through the rest of the fiscal year, I mean, and look, even more broadly, kind of calendar 2024, if you're willing, what do you see as the most important kind of, I don't know, like tension points in either direction for your business that could swing things - well, actually, let me just ask it that way, okay? Like, what do you see as the most important tension points for your business? Sounds like kind of inventory, channel inventory, you're going to lean on a little bit more, but maybe in addition to that, we should be thinking of.
Chuck Boynton: Well, I think the two I would say is how Q3 ends, both from a promo and volume standpoint. It's our biggest quarter of the year. This will really be a telltale sign for the company. And the second would be the return of video in a more meaningful way. And I just can't tell if that's one quarter or five quarters or when that inflection point will be. But overall, those are the two things I would point to as inflection points.
Ananda Baruah: Yes, that's super helpful. Chuck. I'm sorry, go ahead. Sorry, Guy.
Guy Gecht: No, I’d just add to the - just geographically, I think Europe is essentially on the verge of growth. We want to see that, and we have high hopes for the Americas to come back to this. We like to see stabilization in Asia. China is our second largest market. So, hopefully, that will start to bottom and go back. So, if we start to get all of that, definitely things that are playing well for us.
Ananda Baruah: And Chuck - well, and Guy as well, to the dynamic with video conferencing, Guy, you had talked to this, and Chuck just mentioned it, is really the decision - like everybody's sort of - it sounds like everybody is - not everybody, sounds like folks are largely on board that there's going to be some hybrid work model, but it also seems like it's unclear still what that will look like. And so, is that really kind of the sticking point for folks deciding which rooms they want to video-enable in enterprise? Is that really what we're waiting for? Is it something other than that?
Guy Gecht: Say the people I meet, and I meet quite a few customers in the last 90 days. They know where they want the video enabled, and in most of the rooms, they want it. I would say here in Logitech, kind of living large, we have almost every room video-enabled and it's often coming to play. Two, three people go to a meeting and says, okay, let's ping this person working from home today, and let's call this customer and let's see if they have a few minutes and get them on a video. What you used to do on the cellphone now becoming a quick video conference. So, that is happening and people are planning for this. You just see the same people also at the same time saying, hey, I need to get my workforce. Yes, we announced the policy of two, three days in the office, whatever the policy. Now we need to see people do that and use those rooms. We are not standing still, by the way. We are going to expand our portfolio. You're going to hear more about actually enabling those companies to do a great job in attracting, making this very attractive place for people to come and collaborate inside the corporate and outside the corporate. So, stay tuned on that. And I think it's just a matter of time when they come back and says, okay, now the priority is back. Let's get video enabled, modernize all those video conferencing.
Chuck Boynton: And then, Ananda, I would add to that. I think that's super well said, Guy. The backdrop is quite interesting. We sold this past quarter $152 million worth of video conferencing solutions. That's not a small number. We have number one market share there. It's not - none of the players are really doing better or a lot worse than we are. The market is just kind of sideways. The backdrop and the why is, companies are being cautious. Global conditions are unsettled. Interest rates are high. Ours are somewhat discretionary spending. And so, I think companies are prioritizing other areas right now. As the things Guy mentioned, when those settle out, I think we're going to see this become a priority again, once they have their model of back to work and hybrid settled out. I think this is a - to me, this is a - again, it’s a when, not an if. But I think the backdrop is cautious corporate spending on these categories broadly. We have number one market share. We have great solutions, and I think the pendulum will swing back, but it's still a great business today. High margins, $150 million a quarter. I mean, I feel good about the fundamentals. It's just, we're not seeing the growth rates that we'd like to see.
Ananda Baruah: That's really helpful, guys. Appreciate it. Thanks a lot.
Nate Melihercik: Our next question is from Michael Foeth at Vontobel.
Michael Foeth: Yes. Hi, guys. Thank you. Thanks for taking the question. Starting with a clarification on the gross margin. You talked about lower costs driving the margin, and I was wondering, is that only lower input cost, lower material cost inflation, or is it something in the design of the products as well that is more structural that allows you to have lower product costs that will be … 
Chuck Boynton: It's both. Yes, Michael, it’s both. And it depends on the comparison year-over-year versus quarter-over-quarter. We have structural material cost reduction that our COO, Prakash, and his team have driven. It's both designed for manufacturing, designed for cost, as well as procurement, negotiated cost reductions. And then certainly, everyone has been benefiting year-over-year from lower freight costs, inbound, outbound, air, water modal. All companies have benefited from - where we've done an especially good job as material cost reduction. Year-over-year, it's about 50-50 cost reduction and expedite/logistics. And then quarter-over-quarter, it's primarily material cost reductions, because freight has not changed a lot quarter-over-quarter.
Michael Foeth: Sure. A second one on the strength in the workplace solutions business, mice and keyboards, can you be a bit more granular? Does it - is it - you talked about strong consumer, but is it equally strong in enterprise? Is it - where does it come from? Is it a segmentation of your lineup? Is it more in the high end or the low end of the products? What's driving the strengths there?
Guy Gecht: I would say across the board. Geography, we talked about Europe much better, leading Asia, China, a little trailing, selling to the enterprise and influencing enterprise. It's something that’s relatively new to Logitech, but it's working really well with partnering with enterprise, saying, hey, you want to expand. Would you do with Logitech? in general, companies like to do - to work with fewer vendors. So, that's really worked well with that for us. The mobile type of solution is actually doing quite well too for us. And so, we're seeing strength. We expect to be seeing strengths, but we're seeing strength in all those personal workspace. I think now that some of the pull forward is starting to go away, we're seeing it back to normal demand and normal growth. We see the path to normal growth.
Michael Foeth: Okay. Thank you. Then maybe just a very quick last one on financials. You have a pretty big cash pile and interest rates are up. So, I guess, you're starting to earn some good money on that cash. I was just wondering, where is the cash parked and what sort of return are you expecting on the cash?
Chuck Boynton: We have a very conservative investment philosophy, so primarily in bank deposits and treasuries yields. It's different in different countries, but the highest yields we're earning are kind of just sub 5%-ish. So, we have an incredibly conservative model when it comes to managing our cash. We're really pleased, this quarter we returned more cash to our shareholders than we generated. That gives us the confidence and strength in our business. We paid our annual dividend, executed buybacks, opened up a new $1 billion line for additional buybacks. And so, we feel like we're - our capital allocation model is working. It's executing. It's consistent and the excess cash that we have is earning a decent return.
Michael Foeth: Thanks a lot. Well done.
Nate Melihercik: Our next question is from Joern Iffert at UBS.
Joern Iffert: Thanks gentlemen, and good morning and thanks for taking my questions. I would take them one by one if it's okay. Just the first question. When you get all the pre-orders already for the Christmas season or a good chunk of the pre-order for the Christmas season, and if you exclude the B2B business, can we already assume that at least so far the revenues are trending flattish year-to-date for the quarter, considering this pre-order for the consumer business?
Chuck Boynton: So, the way we look at this Joern, is, our global business is different around the world, and the - many accounts plan very far in advance, and many accounts order every two weeks. We don't disclose the level of detail of kind of book-to-bill or ordering. I will tell you that our operations team is working fast and furious, delivering amazing amounts of product right now, getting ready for the big holiday promo. We're just super proud of the engagement with our key customers and partners, e-tail, retail, and we're optimistic for a strong holiday season. B2B is trending nicely. There can be a budget flush. We don't know what that's going to look like at year-end. That's kind of a wait-and-see. It tends to happen the last couple of weeks of the quarter. So, B2B and the business is trending as we would expect this time in the quarter. Of course, it's week three, so it's early.
Joern Iffert: Okay, thanks. So, the second question would be, please, on gaming. Can you remind us how much of the gaming sales is linked to consoles via the headsets and game controllers, for example? And it seems that some console sales are doubling these days and that you get a feeling to - yes, to what extent gaming was benefiting from the strong console exposure.
Chuck Boynton: We don't break out gaming in that level of detail. Console has been a little more difficult for us because our product portfolio is aged. Our product team is launching, we believe, a revolutionary new product. It's going to come out just at the tail end of the holiday buying season. So, we're not going to get a huge amount of lift from it. It's called the A50 and it is a killer, killer new product, but this will primarily be a benefit more into next year. PC gaming, as you know, is our hallmark. We have number one market share in gaming mice, and we just launched New NPIs to further build our lead from a technological advantage standpoint on the gaming side.
Joern Iffert: So, just to double check this, when we saw all the good console gaming data, and you said your product portfolio was with age, so you're not yet fully benefiting from this strong growth which is happening on the street for console sales.
Chuck Boynton: That's right.
Guy Gecht: We have more to benefit. There's also - this is an area that had a significant pull forward during COVID from our perspective. So, people bought our accessories and still use it. So, the upgrade - the refresh upgrade is a little further than maybe the rest of the gaming categories. But as Chuck said, we are going to give - our team is very innovative. We're going to give the user really good reasons to upgrade.
Joern Iffert: Thanks. And the last question, if I may, on Europe. Pretty good performance, absolutely, in the quarter. Can you give us some more color? Which regions and which products in particular, if you must name the top three reasons why Europe was so good, would be helpful if you can share it with us.
Guy Gecht: The number one reason is our team, and then I'll let Chuck maybe take the next two reasons. 
Chuck Boynton: Yes, we don't break out that level of detail, but I would say our team in Europe led by Yalcin, is a really, really good team. We are unlocking value by reducing promotions, improving linearity, driving engagement with the end customers, with the tier two resellers, doing a masterful job with our e-tail partners there. And so, I think honestly, this is an execution story in Europe for us. It truly is. The market is good. We're gaining share, but our team on the ground is just really executing across the board.
Joern Iffert: But just maybe to name one or two products that did in particular well or regions.
Chuck Boynton: Gaming, crushed it in Europe, had a phenomenal quarter. Mice, keyboards did well. Video is up. I mean, it's really across the board. And what's amazing, in US dollars, it's up 5% year-over-year, while the whole business is down 9%. I mean - so Europe did incredibly well. In constant currency, it was down 2%. So, and that's maybe the more relevant metrics. So, I'd call it flat-ish to slightly down. But Europe had a really good quarter, and now we'll just have to see how the December quarter holds in there because it's our single biggest quarter in Europe. So, hopefully, it's a read through that Q3 will look just like Q2 did, but it's kind of a wait and see. But we feel great about the progress and the execution.
Joern Iffert: Thank you very much.
Nate Melihercik: And our final question today is from Andreas Müller at ZKB.
Andreas Müller: Yes. Hello. Thanks for taking my questions. Well done for the quarter. Congratulations. Can you be a bit more explicit on promotions for the December quarter? What were the learnings from last year's promotion? And in the gross margining guidance, it seems implied that the promotions are far more broadly broad-based. Is that right? Can you elaborate here a bit?
Chuck Boynton: Certainly. Last year, I think the promos came in more than we'd expected. This year, we've allocated budgets to the team, and we expect promo to be less than last year, but the mix will be a little negative because it's going to be more consumer, a little less enterprise. And so, the mix shift will be a bit of a headwind overall as we see gross margins for the quarter. So, I think it'll be less promo, but it's still our peak promo period. But the mix shift is going to be more to the consumer-led items.
Andreas Müller: Okay. And then in VC, what has been the market adoption of the new site product? Was that already a driver in the quarter or do we see here something?
Chuck Boynton: Early days, single digit millions of orders. We're still not at the full-scale launch of site yet. That'll likely happen this quarter or next, knock-on wood this quarter. But it's still very, very early, early days. But the reception so far has been strong. Guy's been with a lot of customers. 
Guy Gecht: Yes. I have to say, I don't think I met a customer that didn't like it and wanted to use it. Normally, in an enterprise, the IT want to test the solution, a new type of solution before they deploy it, and then they have few rooms and then they have conclusion, and then they come to us. So, this take a little longer for people to deploy it, but feedback is tremendous. It's a gamechanger as far as being able from a remote location to come in and feel part of the room, not just the video, also the audio. And so, we feel really good about that. There's a lineup behind that. Obviously, it's not the last product that we'll have multiple cameras. That's big part of our roadmap. We feel really good about the initial response.
Andreas Müller: Okay, thanks. And my last question, what is, in your opinion, a perfect time horizon for year-on-year growth overall? Obviously, it's beyond March 2024, but can you give some color when that could happen and say yes, with the most likelihood?
Chuck Boynton: I think with the rate of change that we're seeing, it's mid to end of next year would be my - the current thinking based on the slope and rate of change.
Andreas Müller: Okay. Thanks. Thank you very much.
Chuck Boynton: Thanks, Andreas. And Guy, that's our last question for today. 
Guy Gecht: So, thank you Nate. And thank you all for joining us today. I want to really extend my sincere thank you to the Logitech team. The fruit of their dedication and execution, I think we're seeing in the numbers and give us a lot of confidence for the future. So, thank you, Logitech, and thank you all for joining us today. Looking forward for talking to you in the future.